Operator: Good day, and welcome to the Lamb Weston Fourth Quarter and Fiscal Year 2019 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Dexter Congbalay, Vice President, Investor Relations of Lamb Weston. Please go ahead, sir.
Dexter Congbalay: Good morning, and thank you for joining us for Lamb Weston's Fourth Quarter and Fiscal Year 2019 Earnings Call. This morning, we issued our earnings press release, which is available on our website, lambweston.com. Please note that during our remarks, we'll make some forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our filings with the SEC for more details on our forward-looking statements. Some of today's remarks include non-GAAP financial measures. These non-GAAP financial measures should not be considered a replacement for and should be read together with, our GAAP results. You can find the GAAP to non-GAAP reconciliations in our earnings release. With me today are Tom Werner, our President and Chief Executive Officer; and Rob McNutt, our Chief Financial Officer. Tom will provide an overview of our performance for the year as well as some comments on the operating environment we expect to see in fiscal 2020. Rob will then provide the details on our fourth quarter and full year results as well as our fiscal 2020 outlook. With that, let me now turn the call over to Tom.
Thomas Werner: Thank you, Dexter. Good morning, everyone, and thank you for joining our call today. In fiscal 2019, we delivered another year of record financial results and significantly exceeded the financial targets that we initially outlined a year ago. We delivered these results with the strong performance in our base business, which more than offset crop-related challenges facing our European joint venture. For the year, sales were up nearly 10% with a good balance of higher volume and price mix. Adjusted EBITDA, including unconsolidated joint ventures was also up 10%, driven by strong gross profit growth. Adjusted earnings per share increased more than 20%, driven by operating gains in the benefit of tax reform. And finally, we generated more than 40% increase in cash flow from operations and invested much of that cash back into the business, while also returning $145 million of cash to shareholders. This performance reflects our commercial, supply chain and support team's successful execution against our 3 strategies of accelerating category in customer growth, differentiating our global supply chain to drive growth and investing for growth.  Now let me take you through some highlights for each of these. To accelerate category and customer growth, our global innovation and supply chain teams work closely to develop, produce and sell a higher amount of limited time offering products in the U.S. and key markets in Asia. These LTOs enable customers to expand their menus with exciting new products and increase traffic into their stores. For the year, about a quarter of our Global segment volume growth was driven by increased LTO penetration.  In addition, we continued to partner with U.S. and non-U.S. restaurant chains as they look to expand operations internationally. In our Foodservice segment, we successfully replaced our broker relationships with the direct sales force solely focused on selling frozen potato products to small and regional chain customers as well as single restaurants. Over the course of the year, the new team was able to drive overall volume growth, including for Lamb Weston branded products. Over the long term, we expect our direct sales force will lead to deeper customer relationships and broader customer coverage leading to faster growth and optimized product mix.  In retail, we helped drive overall category growth with distribution gains of our Grown In Idaho, Alexia, and licensed brand products. For the year, nearly all of our 7% volume growth in retail was from our branded products. Our investment in part has encouraged retailers to expand freezer shelf space allocated to the frozen potato category. Regarding our strategy to differentiate our global supply chain to drive growth, we continue to leverage our Lamb Weston operating culture to generate cost savings and efficiencies as well as distressed production capacity to improve profitability and support customers growth. We've also completed much of the upfront work to replace our obsolete enterprise resource planning system. Once the new system is implemented over the next couple of years, we expect it to drive productivity and reduce costs by streamlining supply chain, commercial and back-office processes, while also improving our demand in operations planning across our global manufacturing footprint.  And finally, we leveraged the geographic diversity of our global supply chain platform this year by having our North America plant serve Lamb-Weston/Meijer and its customers as they manage through the effect of a poor crop in Europe. We also leveraged our operations in Canada to manage through a shifting trade and tariff environment.  For our third strategy leg, investor growth, we acquired some businesses and built new capacity. We completed the purchase of our joint ventures partner interest in Lamb Weston BSW allowing us to realize the full financial benefit of the JV's production facility. We also acquired Marvel Packers, a 50 million-pound potato processor focused on serving the fish and chip market in Australia.  And earlier this month, we completed the acquisition of Ready Meals, a 70 million-pound potato processor that also services the Australian fish and chip market. Together these 2 acquisitions provide us with an opportunity to strengthen our position in Australia. We'll continue to seek other acquisition opportunities to strengthen and broaden our manufacturing footprint outside North America.  And finally, we completed a 300-million-pound expansion of our Hermiston, Oregon facility in May. This investment will enable us to continue to support customers growth in both North America and key export markets as well as provide more flexibility to leverage our innovation capabilities to partner with our customers to develop innovative and traffic-driving limited-time offerings. We're very pleased with the progress we've made on these initiatives and we'll continue to focus on executing these strategies to drive sustainable growth over the long term.  In addition to delivering strong business performance, we're proud of the work we're doing to support our local communities. We continue to focus on combating food insecurity by supporting regional food banks and other hands-on efforts through local outreach programs and employee volunteer activities. Through the Lamb Weston Foundation, we've also provided financial assistance to organizations combating food insecurity and other worthy causes. And we have contributed another $5 million to the foundation to continue to add support over the coming years.  Now turning to our operating environment. For fiscal 2020, we believe the overall operating environment will continue to be generally favorable assuming no significant economic shocks or material changes to trade policies. In the U.S., we expect restaurant traffic will continue to grow supported by low unemployment, rising disposable income and additional promotional activity by quick-service restaurants, including more limited time product offerings. This increased traffic typically translates into solid demand growth for our products. We also see continued solid demand growth in Europe and our other key developed markets like Australia, Japan and South Korea, largely fueled by many of the same factors driving U.S. demand.  In our key emerging markets, such as China, Southeast Asia and the Middle East, we anticipate continued strong demand growth as customers build additional restaurant outlets and as traffic continues to increase as consumers look towards Western-style dining options.  With respect to supply, recently added industry capacity in North America as well as capacity is scheduled to become operational within fiscal 2020 should allow processes to operate their factories closer to normalize rates. However, due to continued demand growth, we expect industry utilization will remain relatively high. As a result, we expect that we'll continue to be able to increase prices overall to offset modest input cost inflation.  And while we've only finalized a handful of global and regional restaurant chain customer contracts over the past few months, we are encouraged by how the pricing discussions have been progressing. We'll have a clear view of how the overall pricing situation will shake out as we continue contract negotiations over the next few months. Of those chained restaurant customer contracts that were renewed over the past couple of years, especially for customers in our Global segment, most were renewed on a multi-year basis. As we enter into the second and third year of those agreements, we'll continue to realize the price increases embedded in those contracts.  With respect to costs, we expect the environment in North America to be manageable. Per pound contracted prices for raw potatoes, which account for about a third of our cost of goods sold, are set to increase in single digits. Taken together, we anticipate that inflation rates for our other key inputs and supply chain costs, such as oils, packaging, transportation and warehousing will also be in that range.  In Europe, due to a poor crop last year, raw potato prices were high and supplies were limited. Assuming an average crop this year, we anticipate that operating levels will normalize, which may lead to increased competitive intensity in Europe and in the region's key export markets. Nonetheless,, lower raw potato costs resulting from an average European crops should provide an opportunity for Lamb-Weston/Meijer to improve profitability, especially as these lower-cost potatoes become available in the second half of our fiscal year.  So in summary, we expect to continue to build upon a strong financial results that we delivered in fiscal 2019, and the good momentum in each of our channels by continuing to focus on serving our customers and executing against our strategic initiatives. As a result, we believe that we are well positioned to deliver solid results again in fiscal 2020 and remain committed to investing back in our business to support sustainable top- and bottom-line growth and create value for all our stakeholders over the long term.  Now let me turn the call over to Rob to provide the details on our results and our fiscal 2020 outlook. Rob?
Robert McNutt: Thanks, Tom. Good morning, everyone. As Tom noted, we're pleased with our strong sales and EBITDA growth in the fourth quarter and for the full year. Specifically in the quarter, net sales increased 9% to just over $1 billion driven by a good balance of favorable price mix and volume. Price mix was up 3% due to pricing actions in our Global and Foodservice segments as well as favorable mix.  Volume increased 6% led by growth in our Global segment. Marvel Packers, our acquisition in Australia that we closed in the middle of our fiscal year, added about 0.5 point of volume growth. For the year, sales grew 10% to $3.8 billion with volume up 5% and price mix also up 5 points. Gross profit increased $18 million or 8% to $251 million in the quarter. Higher prices, favorable mix, volume growth and supply chain efficiency savings drove the increase, more than offsetting the impact of input manufacturing, transportation, cost inflation. The increase in gross profit was tempered by a $7.5 million loss in unrealized mark-to-market adjustments related to commodity hedging contracts this quarter. This compares to a $1 million loss in the prior-year period. Gross profit also included approximately $3 million of cost related to the start-up of our french fry line in Hermiston, Oregon. All in, our gross margin percentage in the quarter was down 40 basis points to 25%. However, excluding the unrealized mark-to-market adjustments and the Hermiston start-up cost, gross margin expanded by 50 basis points.  For the year, gross profit grew 14% and gross margin expanded 100 basis points to 26.7%. The improvements were largely driven by favorable price mix, volume growth and supply chain productivity more than offsetting cost inflation and higher depreciation expense, primarily associated with our french fry production line in Richland that became operational in mid fiscal 2018.  SG&A expense excluding items impacting comparability increased about $4 million to $103 million in the quarter. The increase in SG&A was due to investments in our sales, marketing, operating and information technology capabilities to support growth and drive operating efficiencies. Advertising and promotional expense was down about $4 million due to the timing of spending last year behind Grown In Idaho. For the year, A&P spending was up less than $1 million to $32 million.  In addition, as Tom noted, we contributed an additional $5 million to our charitable foundation, which focuses on combating food insecurity. We made a similar contribution in the fourth quarter last year when we initially set up the foundation. Adjusted operating income increased $14 million or 10% to $148 million in the quarter behind strong sales and gross profit growth. For the year, adjusted operating income was up 14% to $668 million. Similar to the fourth quarter, the increase was due to higher sales and gross profit, partially offset by higher SG&A.  Equity method investment earnings from our unconsolidated joint ventures, which include Lamb-Weston/Meijer in Europe and Lamb-Weston/RDO in Minnesota were $15 million in the quarter. Excluding mark-to-market adjustments related to commodity hedging contracts, equity earnings were down about $12 million, largely due to higher raw potato costs and lower sales volumes in Europe associated with poor crop. For the year, equity earnings were $60 million. Excluding the mark-to-market impact, equity earnings declined about $22 million due to the crop issues in Europe.  So putting it all together, adjusted EBITDA including the proportional EBITDA from our two unconsolidated joint ventures increased $13 million or 6% to $215 million for the quarter. Operating gains by our base business along with contributions from acquisitions drove about $23 million of EBITDA growth. Even though we absorbed higher mark-to-market losses and Hermiston startup costs, this was partially offset by a $10 million decline in EBITDA from our unconsolidated joint ventures.  For the year, EBITDA increased $84 million or about 10% to $904 million. That's at the high-end of the guidance range that we provided at the end of the third quarter despite the mark-to-market losses and $5 million contribution to our charitable foundation in the fourth quarter.  Moving down the income statement, interest expense was about $27 million, which is similar to prior year. Our effective tax rate excluding the impact of comparability items was about 20% and includes the benefit of discrete items. For the year, our rate was about 22%.  Turning to earnings per share. Adjusted diluted EPS was up $0.09 or 14% to $0.74 in the quarter. Operating gains in our base business and a $0.02 benefit from a lower tax rate and approximately $0.02 benefit from the BSW acquisition drove the increase, partially offset by lower equity earnings.  For the year, adjusted diluted EPS was up $0.56 or 21% to $3.22. The increase was driven by higher income from operations, a $0.17 benefit from a lower tax rate to U.S. tax reform and a $0.05 benefit from the BSW acquisition. These gains were partially offset by lower equity earnings.  Now let's review the results for each of the business segments. Sales for our Global segment, which includes top 100 U.S.-based chains as well as all other sales outside of North America, were up 13% in the quarter. Price mix rose 3%, primarily reflecting pricing adjustments associated with multi-year contracts. Volume grew 10%. The strong increase was driven by growth in sales to strategic customers in the U.S. and key international markets, including to customers affected by the challenging crop in Europe as well as increased sales of limited time offering products.  In addition, the Marvel Packers acquisition contributed about 1 point of volume growth. For the year, Global sales grew 12% with volume up 7 points and price mix up 5. Global's product contribution margin, which is gross profit less advertising and promotional expense, increased $11 million or 11%. For the year, it's up $71 million or 19%. Favorable price mix, volume growth and supply chain efficiency savings drove the increases, which were partially offset by cost inflation.  While Global's price makes and volume growth more than offset higher costs on a dollar basis in the quarter, the segment's contribution margin percentage declined 40 basis points. Increased international sales, which generally carry lower margins than the segment's average accounted for some of the margin decline. For the year, Global's product contribution margin percentage was up 120 points.  Sales for our Foodservice segment, which services North American Foodservice distributors and restaurant chains outside the top 100 North American restaurant customers, increased 7% in the quarter. Price mix increased 6%, reflecting the benefit of pricing actions initiated in the fall of 2018 as well as improved mix. Volume increased 1%, led by growth of Lamb Weston branded products. For the year, sales increased 5% with mix up 5 and volume flat.  Foodservice's product contribution margin increased $15 million or 16% in the quarter, while contribution margin percentage expanded 260 basis points. For the year, the segment's contribution was up $37 million or 10% and margin percentage expanded 150 basis points. The increases were driven by favorable price mix and supply chain efficiency savings and were partially offset by cost inflation.  Sales in our Retail segment increased 3% in the quarter driven by 4 points of volume growth behind increased sales of Grown In Idaho and other branded products as well as private label. Price mix fell 1% largely due to increased trade support behind our branded portfolio. For the year, sales were up 11% with volume up 7 points and price mix up 4.  Retail's product contribution margin declined modestly in the quarter as lower advertising and promotional expense offset increased trade support. Retail's contribution margin percentage fell 70 basis points. For the year, Retail's contribution margin increased $11 million or 13%, while margin percentage expanded by 40 basis points.  Moving to our balance sheet and cash flow. Our total debt at the end of the quarter was about $2.3 billion. This puts our net debt to adjusted EBITDA ratio at 2.8x. We continue to target leverage ratio of 3.5 to 4x over the long term. We remained comfortable being below that range as we continue to explore potential acquisition opportunities.  With respect to cash flow for the year, we generated about $680 million of cash from operations, that's up from about $480 million or about 42% versus last year driven by strong earnings growth and lower cash taxes as a result of U.S. tax reform.  Our top priorities in deploying that cash continue to be investing to grow the business organically and through acquisitions. In fiscal 2019, we spent about $335 million on capital expenditures, including the construction of our new french fry line in Hermiston, Oregon. We also completed the purchase of the remaining interest in Lamb Weston BSW for about $80 million and expanded our global footprint with the acquisition of Marvel Packers in Australia for about $90 million.  Finally, we returned $145 million in cash to shareholders. We paid about $113 million in dividends and in the 5 months in which we had a share buyback program, we repurchased nearly 460,000 shares for about $32 million. At the end of fiscal 2019, we had about $220 million remaining in our share repurchase authorization.  Turning to our fiscal 2020 outlook. As Tom noted, we anticipate the overall operating environment to remain generally favorable with continued solid demand growth in our markets. New industry capacity should allow processors to operate their factories at more normalized rates, easing the strain on those assets while also providing more flexibility to support customers growth. Consistent with our overall guidance philosophy, we're taking a prudent approach to our fiscal 2020 outlook. Specifically, we're targeting sales to grow at mid-single digit rate, including the benefit of the 53rd week, which will benefit the fourth quarter. We expect volume to be the primary driver of sales growth. The incremental capacity from -- available from our 300-million-pound Hermiston, Oregon production line, which became operational at the end of 2019 will help support that growth.  In the near term, you shouldn't consider all 300 million pounds to be incremental. As when we commissioned the line of Richland 2 years ago, we'll take some time to ramp up the facility. We'll also shift production to Hermiston from other lines, which will take down for some deferred maintenance as well as retooling to meet evolving market needs. In addition to volume growth, we expect the prices will increase modestly and enable us to offset input cost inflation. We've taken a prudent approach when incorporating expected results of pricing discussions in our outlook.  Most of our chain restaurant contracts in our Global segment are multi-year agreements. And we're in the process of negotiating renewals for about a quarter of our Global segment volume this year. While we've been encouraged by how the discussions have proceeded so far, there is always competition for these contracts. We remain disciplined and taken approach designed to maintain and reinforce our strategic customer relationships. As Tom noted earlier, for those multi-year chain restaurant contracts that were renewed over the past couple of years, we'll continue to realize the price increases embedded in those contracts. We're targeting adjusted EBITDA, including unconsolidated joint ventures, to be in the range of $950 million to $970 million, including the benefit of the 53rd week. We expect gross profit growth will drive a significant portion of the EBITDA growth -- increase and that volume gains will largely drive gross profit growth.  As I just noted, favorable price mix and productivity savings should offset higher input, manufacturing, transportation and warehousing inflation as well as an increase in depreciation expense associated with the new Hermiston production line. The rise in our production costs reflect an increase in the weighted average contracted raw potato price in the low to mid-single-digit range on a per pound basis. Contracted prices, as you may recall, are only one element of understanding our total potato cost. Potato yield, quality and how they hold up in storage are all key to determining how the potatoes perform in our production facilities and/or actual costs. As typical, when we provide our initial outlook, our financial targets assume an average potato crop. At this point, we don't see anything negative for the North American crop in our growing areas.  We'll have more insight into the yield and quality of the potato crop as the harvest takes place later in the year. Through a combination of volume growth, favorable price mix and supply chain savings, we expect a largely sustained gross margin percentages. We're projecting that the increase in gross profit will be partially offset by higher SG&A, reflecting inflation and incremental investments in sales, innovation and other support capabilities as well as investments to implement a new ERP system. We expect our base SG&A, which excludes advertising and promotional expense as well as ERP investments will continue to be within our target of 8% to 8.5% of sales.  While we're targeting A&P expense to remain in line with what we've spent in fiscal 2019, our total ERP spending will depend among other factors, on the pace of the implementation. At this point, we're estimating ERP expenditure between $10 million and $20 million for the year. As we previously noted, we expect our total SG&A spending to be elevated until we create the ERP implementation over the next couple of years, after which, we'll begin to reduce our total SG&A expense excluding A&P expense.  In addition to our expected operating gains, our outlook includes an approximately $10 million earnings benefit from acquiring the 50% of our consolidated joint venture Lamb Weston BSW. This benefit will be realized in the first half of fiscal 2020.  For equity earnings, we're assuming an average crop in Europe, which should drive an increase versus fiscal 2019 results as potato costs decline and sales volumes improve. However, our European JV's results through the first half of fiscal 2020 will continue to be challenged as it works through the last of the old crop. With respect to the new crop, while European processing potato futures increased in response to the recent heatwave, moderating temperatures and recent rains have helped the crop. However, it's still too early to determine how the crop there will perform overall.  In addition to our operating targets, we anticipate total interest expense of around $110 million, which is about the same as in fiscal 2019. We're targeting an effective tax rate of 23% to 24%, which is in line with our long-term target. We expect capital expenditures of about $275 million, which includes capital in support of the ERP replacement as well as some relatively large maintenance and facility upgrade projects.  And finally, we expect total depreciation and amortization expense will be approximately $175 million, up from nearly $160 million this past year, primarily reflecting depreciation expense associated with the new Hermiston production line. So looking at our fiscal 2020 outlook at a high level, we're targeting mid-single-digit sales growth, largely driven by volume growth and modestly higher price mix. For earnings, we expect to deliver adjusted EBITDA, including unconsolidated joint ventures of about $950 million to $970 million, largely driven by sales and gross profit growth.  Before turning the call back over to Tom, there's one more item to address. As we stated in this morning's press release, we plan to report in our Form 10-K, a material weakness related to a deficiency in an information technology general control. We do not expect these matters will result in any changes to our financial statements. We began remediation efforts and expect that the remediation of the material weakness will be completed as soon as practicable during fiscal 2020.  Now here's Tom for some closing comments.
Thomas Werner: Thanks, Rob. Let me quickly sum up by saying, again, in fiscal 2019, we finished strong and delivered another record year of sales and earnings. We built great operating momentum and are well positioned to deliver solid results in fiscal 2020. And we remain focused on executing against our strategic initiatives to support long-term growth and create value for all our stakeholders. I want to thank you for your interest in Lamb Weston and we're now happy to take your questions.
Operator: [Operator Instructions]. We'll take our first question from Andrew Lazar of Barclays.
Andrew Lazar: Two questions from me, if I could. I guess, first would be, assuming that the Lamb Weston gets a healthy benefit year-over-year from the equity method earnings, has the benefit from the extra week as well as the BSW and then some contribution from the recent acquisition as well. I guess I'm trying to get a sense of what that implies for sort of base business profit growth in fiscal '20. It would seem like perhaps that might be fairly modest or muted and I realize there is higher ERP spend, which impact some of that and as you said, you're being prudent on sort of pricing and your outlook there, but perhaps just some comments around sort of base business profit growth and how that plays out in fiscal '20?
Robert McNutt: Sure, Andrew. This is Rob. You can get to the BSW historically out of the financials as you see the add back and so as we say, let's call it $10 million of add back there, the 53rd week adds a bit. Taking that all together, take out the ERP, increased expense, expense related to that, you still get into low to mid-single-digit kind of organic growth and profitability in the business.
Andrew Lazar: And then if we're thinking about organic sales again for fiscal '20 and looking for mid-single digit rise, obviously, you take out the benefit from the 53rd week. So maybe we're talking more 3% or so and then I assume there is some benefit from obviously the recent acquisition in Australia. So, I mean, are we talking really more or something like 2% or so organic and if volume is the largest part of that, it sounds like very limited or as you said, very modest in the way of price. So I'm just trying to get a sense if that is -- if that's right, is that consistent, I guess, with the being encouraged, if you will, about some of the initial conversations around pricing that you've had?
Thomas Werner: Andrew, this is Tom. Good morning. I'm encouraged by the contract negotiations that are happening right now in terms of the pricing. And the other thing to remember too, we always take a prudent approach to guidance. We also have the carryover contracting our global business unit, the pricing that we put in place last couple of years. And I would say, when you step back, this fiscal year, it's going to be largely driven net sales by volume and more than it will be by price as it has in the last couple of years. But I'm confident that how the contract discussions are progressing, feel good about how we've projected our pricing this fiscal year and I think, as we evaluate what's going on in the marketplace, I think there is going to be opportunities for us to continue to drive the pricing across multiple channels.
Operator: Let me take our next question. Chris Growe of Stifel.
Christopher Growe: I want to ask, there's been a lot of concern around incremental capacity and it sounds like that will have a minimal effect on pricing overall as you're seeing some good results so far in your negotiations. Where is utilization overall for the industry? Do you have a good sense of that? And maybe even including the facilities coming on later this year and early next year. Do you have a good sense of that and therefore, kind of where the industry will be operating, overall, at that level?
Thomas Werner: Yes, generally, we believe with the additions in North America, including our Hermiston plant, this year, we're going to operate around the 95, 96 level in North America. In Europe, it's a little bit of a different story. There has been a lot of capacity put on in Europe. Compounded with the potato crop issue last year, it's a bit harder to read at this time until we get further in this fiscal year, but generally, we believe they are operating at a pretty high utilization rate as well. So as we stated in the past, that's kind of normalized levels. I think, over time, with the category growth at 1.5 to 2.5 points as we're projecting, it's going to continue to elevate utilization rates over the next couple of years as it has in the past year. So -- and then the industry, based on how they've been running in the past couple of years, at a really high, 100% utilization rate, I know in our business, we've got some catch up things to do in maintenance, but we'll some capacity off-line for us for a period of time. So I think if you think about it, Chris, running a business at utilization rates that we want at -- is that we run at, it's a pretty high utilization rate and that's just the nature of where we're at right now. So a lot of these things really just need to normalize and then, as the category continues to grow, we're going to be evaluating additional capacity ourself, potentially, in the near future.
Christopher Growe: Okay, that's good to know. Just to be clear, at that level of utilization, you believe you can price the cost inflation at that level, is that current?
Thomas Werner: Yes, I feel really confident that we can do that.
Christopher Growe: Okay. And just one follow-up will be on the ERP spending. I think you said $10 million to $20 million expense this year you said how much you have in capital -- at the capital portion of that? And then just to get an idea, is that a little higher than next year as you kind of push through this implementation? That's my last question for you.
Robert McNutt: Yes, Chris, this is Rob. Yes, the $10 million to $20 million expense, we have not disclosed specifically the capital on that and the timing of that as I said in prepared remarks that part of that is pace of timing of implementation as well, but the ERP spending is embedded within the capital guidance -- overall capital guidance I gave you.
Christopher Growe: And that would grow next year then, Rob?
Robert McNutt: Yes, again, it depends on timing of implementation, but I think that's fair to say it would be a little bit higher next year.
Operator: And we'll now take out next question. It comes from Adam Samuelson of Goldman Sachs.
Adam Samuelson: So I guess, first coming back to the question on price mix and the QSR negotiations a little bit. The guidance for the year assumes kind of modest contribution. And this quarter and last, you are running about 3% price mix at the consolidated level. We're still in calendar '19 for the first half of fiscal '20 so my base assumption will be similar to that for the first half of your fiscal year. And you've got inflation escalators for the contracts that roll into -- that aren't up for renewal for 2020. So in the context of guidance that it assumes kind of modest contribution, it would seem like there's a notable decel embedded in the back half of the fiscal year on the price mix side. And I want to just make sure I'm thinking about that right. And if so, kind of just talk about whether it is inflation escalators from contracts not up for renewal or is the price mix on the new contracts more like 0 to 1? I'm just trying to make sure I understand the math there.
Thomas Werner: Adam, again, as consistent with practice, we're being very prudent. And as I said in the prepared remarks, being very prudent of how those negotiations on pricing are going to evolve. Again, also recognize that growth -- as we're projecting growth, international markets, we assume we're going to grow a bit quicker than domestic markets in terms of demand and those typically as we've talked about before, command a lower margin than our domestic markets and so, part of it is into that mix peace across business and customer mix with international, waiting a little bit that is impacting your math there.
Adam Samuelson: Okay. That's helpful. So maybe that actually is a good segue into the second question. And you talked about being kind of happy with the pricing so far on the QSR negotiations. Can you talk maybe on the volume, market share side, just the aggregate kind of, are we happy just with pricing? Are we happy with the volume, market share price in aggregate, just maybe frame it a little bit more broadly than just the pricing component?
Thomas Werner: Yes. So Adam, when you step back to your point in aggregate, we're very comfortable with not only the pricing component of it, but volume as well. And as I have -- as we worked hard over the last 2, 3 years to align our segments with strategic customers that; are growing in the marketplace. So we have a really good customer portfolio mix, not only in the Global segment, but in Foodservice and retail. And when you step back and look at both pieces, volume and pricing, we are in a sweet spot right now. So all this has to play out over the next couple of months, but I feel good about the growth opportunities we have in all of our segments.
Adam Samuelson: Okay. That's helpful. And then just a very quick follow-up from me. The acquisitions in Australia that you've done in recent months, I mean, I would guess that those are $10 million to $15 million EBITDA tailwind to fiscal '20. Is that assumption reasonable and that's in the guidance?
Thomas Werner: Yes, I think, Adam, we don't want to talk about individual planned profitability per se, but I think it's fair to take the capacity volumes of those and apply a margin against those and you are going to get reasonably close and that's going to get you somewhere in that range. Also recognize that for the first few months that an acquisition, we have the markup on the inventory. So we won't get that margin on those acquisitions for the first few months, but bottom line answer to your question is, is it in the guidance? Yes, it is.
Robert McNutt: Adam, mechanically, just, the Marvel acquisition, we got middle of last year, just mechanically, we did get the benefit of that in the fourth quarter and we talked about that in the prepared remarks, how much that was. And then, most recent acquisition, Ready Meals, that's $70 million, we got that at the... When was that?
Thomas Werner: July 2, very first [indiscernible]...
Robert McNutt: Yes, so we're about one month in, and so not all of it is going to be obviously in the first year.
Operator: And we will now take our next question. It comes from Tom Palmer of JPMorgan.
Thomas Palmer: Could you provide some clarity about the gross margin outlook? You're calling out modestly higher price mix, low to mid-single-digit input cost inflation plus looks like you'll have higher D&A expenses from the new facility. All this together seems like it would suggest gross margin pressure, but you're guiding to sustain your gross margin. So I guess, am I interpreting these pieces correctly? And are there other items that should help the gross margin line that are not being factored in that I just listed?
Thomas Werner: Tom, this is Tom Werner. I'm real confident that we could maintain margin levels where they're at today and we continue to focus on. We've had a lot of discussion about prices this morning already, but we're focusing on mix too across all of our segments and customer mix. And we're also leveraging our Lamb Weston operating culture, supply chain to drive cost savings across our supply chain networks. So the business unit leaders, sales team, everybody is focused on maintaining our margin levels and I'm confident, based on, how things are playing out early on, that we'll be able to maintain our gross margin at these levels and interim up over the course of time.
Thomas Palmer: Okay. Thanks for that. And then I know you're a little limited in how much you can discuss here, but I wanted to follow-up on negotiations again. You mentioned about a quarter of your global contracts were up for renewal this year. How does that compare to the number coming up for renewal next year? And are you seeing or looking to kind of change the terms in terms of the length of how long they continue for or any changes in terms of how you have structured escalators relative to the past?
Thomas Werner: Yes. So we've worked over the past several years to spread the timing across all of our segments that we negotiate contracts with to sequence them 1, 2, 3 years where we can. So we have changed that sequencing in terms of negotiation timing. So as far as next year, I'm not going to get into specifics about what's coming up for bid next year, next year, we will have the same conversation and be talking about negotiations.
Operator: And will now take our next question. It comes from Bryan Spillane of Bank of America.
Bryan Spillane: So two questions, just two quick ones from me. First, the strong volume performance in the Global segment in the fourth quarter. Is there any benefit that you got from -- I think, you might have mentioned this in prepared remarks, but just any benefit you may have gotten from taking some orders from Europe or due to the shortage in Europe? And second, does any of that strength kind of -- is it all pull forward from 2020?
Thomas Werner: Bryan, in terms of the picking up some orders related to Europe, that was really more focused on strategic European customers in support of those. The volume wasn't the big driver there. And in terms of is it pull forward, no, I wouldn't say any of that is pull forward.
Bryan Spillane: Okay. Great. And then I guess, second one is just as we're modeling 2020, I know there has been a lot of focus on price in the discussion today, but is mix going to be negative? It just seems to me that maybe the Global segment ends up contributing a little bit more and that might be negative as you roll up at a consolidated level on mix? I'm just trying to get understanding how mix affects the price mix piece on an enterprise-level?
Thomas Werner: Sure. On the mix side, again, I think your point is spot on. The global growth is we are expecting to be a bit faster. Recognize in retail, for example, we've had great growth here over the last couple of years. Expect that growth rate to moderate somewhat, but continue to push the mix within retail for the branded products and that will help our mix within the segment. Foodservice, similar drive growth with market, but don't expect outsized growth. It's really the growth in Global driven by export that's going to pressure a little bit margins in Global -- margin percentage in Global as the mix turns to more export business relative to the growth rates domestically. And as mentioned, those exports business tends to be a little bit lower margin.
Operator: And we'll take our next question from David Mandel of Consumer Edge Research.
David Mandel: It's a quick one. When it comes to Europe, it looks like the weather is getting a little bit better, but there might be another bad crop. Can you point to any learnings that came from last year? Were there any surprises that the European processors were using table potatoes and stored inventory? So I was wondering if you could speak to any learnings that you could share with us?
Thomas Werner: Sure, David. This is Tom. One of the things -- the opportunity in all that for Lamb Weston is the ability for ourselves, Lamb Weston and Lamb-Weston/Meijer to come together and look at first and foremost, the customers that we needed to make sure get serviced. And we did move some production around to North America from Lamb-Weston/Meijer. The team over there did a terrific job early on making sure we had sourced the potatoes we needed to service our business. So we got ahead of it and we organized ourselves more efficiently in terms of moving production around the globe. That was the big learning. Could we -- we've obviously, as we did that, we learned some things. And if that situation ever happens again, we're going to be more efficient at it. In terms of the potato crop this year, yes, Europe has been hot again, and we're obviously close to it on the ground there with Lamb-Weston/Meijer team. The difference is, they're getting rain periodically this year even with the heat. It's early on and as we get to our October call, we'll give you an update on that. But right now it is hot but it's still too early to tell the impact on the crop over there.
Operator: And this concludes our Q&A session for today. So I'd like to hand the call back to our speakers.
Dexter Congbalay: Hi, everyone. It's Dexter. If you have any follow-up questions, please send me an e-mail first. We could either set up a time or -- either today or later on in the next few days. Thanks for joining on the call. Talk to you later. Thanks.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.